Linda Aase : Hello, everyone, and welcome to this presentation of SalMar's results for the first quarter in 2022. And my name is Linda Litlekalsoy Aase and I'm the new CEO in SalMar. And this is the first time I'm presenting our quarterly results. Alongside me today, I have another first timer Gunnar Nielsen, who is SalMar's new CFO, and you will get to know him later in this presentation.  So I am a newcomer in the SalMar industry. However, I've served for two years at the Board of SalMar before I took up the position as CEO. In addition, I have more than 20 years' industrial experience from different sectors. My background is within engineering, and I've also studied economy and management. And today's presentation will follow the same structure as previous quarterly presentations. I will take you through some of the quarterly highlights before our CFO, Gunnar, will dig deeper into the details. And finally, I will be focusing on further sustainable growth of our business and give an update for on our bid for the NTS, before I will conclude with a review of the outlook going forward. So in the first quarter of 2022, SalMar once again delivered a solid result, driven by strong biological and operational performance, in addition to record high salmon prices. And in Norway, we harvested 41,700 tonnes during the quarter at a margin of NOK 28.83 for kilo and a total operational EBIT of NOK 1.2 billion. Including Icelandic Salmon and SalMar Aker Ocean, we harvested 45,000 tonnes in the first quarter and made an operational EBIT of NOK 1.26 billion. And that gave us a total margin of NOK 28.02 per kilo. Our fish farming segments posted record margins with Northern Norway achieving a particularly strong result. And fish farming, Northern Norway continues its solid trend. And this is the third quarter in a row that it has a consistently low cost at harvest, underpinned by excellent biological and operational performance. And fish farming North Norway or Central Norway, sorry, achieved a lower cost level than the previous quarter due to yet another solid performance. And we are well pleased with the way the Sales and Processing segment has performed operationally. However, the segment posted weak figures since the record high salmon prices had a negative impact on our fixed price contracts in the quarter. Iceland achieved very strong margins due to a solid price achievement, good capacity utilization at the harvesting plant and stable cost development. And for the first time, we are reporting SalMar Aker Ocean as a separate segment. When it comes to our guidance, the volume expected in 2022 remains unchanged in all regions. And as you all probably know, SalMar announced a voluntary offer to buy all outstanding shares in NTS in February this year. And the acceptance deadline for this voluntary offer expired at the end of April. By which time, 52.7% had accepted our bid. And I will come back to this a little later in this presentation. And then I would like to hand over to our CFO, Gunnar, who will give you a more detailed one through our operational and financial performance. So Gunnar, stage is yours.
Gunnar Nielsen : Thank you, Linda. It's good to see some of known faces here this morning after being out of the industry for a period. But the pandemic and -- has caused that some of you haven't seen each other during the period I have been out, but I really look forward to meeting you all again. I took up the position as CFO of SalMar 1st April this year. I have experience in the aquaculture industry from our previous position as CFO of Bakkafrost in the period from 2014 to 2019. After being out, I am very excited to take this journey together with Linda with SalMar and the excellent people we have in this company. Now we will take a deep dive into our operational update. First, we will take a look at fish farming in Central Norway. This segment harvested 24,900 tonnes and made an operational EBIT of NOK 925 million in the quarter. This resulted in an EBIT per kilo of NOK 37.16. High salmon prices and continued strong biological and operational performance has led to a solid result in the first quarter this year. The cost of harvested volumes was lower than in previous quarter. And we have not seen the same expenses which we saw in the last quarter which was caused by biological challenges. The autumn 2020 generation accounted for the bulk of the volumes which was harvested in this quarter, approximately 80%. This generation has demonstrated stable biological development throughout the quarter. At the same time, we have started up the harvesting of our spring 2021 generation, which also has performed well in the quarter. In the second quarter 2020 [ph], we expect lower volumes and a similar cost level compared to the first quarter. We will finish the harvest of the autumn 2020 generation in the coming quarter, and we'll then continue harvesting the spring 2021 generation. The status of the fish is good, and we expect to harvest 117,000 tonne in the whole 2022 harvest. It is unchanged. Then we will take a look at Northern Norway fish farming. This segment harvested 16,800 tonne in the quarter. And the segment had a record high operational EBIT of NOK 716 million. This corresponds to an EBIT per kilo of NOK 42.65. For the third quarter in succession, the segment posted results that we are very pleased with, continued its solid trend with low cost levels. The cost level in this quarter is the third quarter with cost -- lower cost than previous quarters. And this is actually the lowest cost we have seen in the segment since 2017. As we have said in previous presentation, this is due to strong biological performance and effective operations, lower mortality, good utilization and -- of MAB capacity and, therefore, also lower cost levels. At the same time, we have gradually increased the volumes being harvested at InnovaNor, as we continue to increase the activity of this new -- brand new facility. The autumn 2020 generation accounted for the whole volumes harvested in this quarter up in the north. This generation has had strong biological performance, and we will continue to harvest this generation in the coming quarter. The state of biomass at our sea farms is good. In second quarter 2022, we expect to harvest a lower volume with a slightly higher cost level. We have still unchanged volume guidance in this segment. We expect to harvest 58,000 tonne in 2022. Then we take a look at sales and industry. The Sales & Industry segment posted an operational EBIT of minus NOK 372 million. We are very pleased with the segment's harvesting and secondary processing operation during the quarter. As usual, the volumes were somewhat lower due to seasonal variations. However, compared to previous first quarters, the decrease was smaller due to the gradual increase in volumes handled at InnovaNor. Through 2022, activity at InnovaNor's harvesting and processing operations will gradually ramp up. As mentioned in our last presentation, we therefore have, from the first quarter 2022, some additional costs related to this ramp-up. When InnovaNor is fully operational, we expect it will result in savings, improved value chain performance from fish from Northern Norway, which will provide a platform for further sustainable growth in the north and improve our results in the region. Record high salmon prices in the quarter affected our results from the contracts. Some 40% of the quarter's volume was sold under fixed priced contracts. This includes both physical and financial contracts. Due to record high salmon prices on spot, this resulted in negative contribution from the segment's bottom line. On the positive side, however, the spot price achievement was better than in previous quarters. All in all, we are, therefore, satisfied with the operational performance achieved by our employees. But on the other side, the segment's financial result was weak due to the negative impact of our fixed priced contracts. Looking forward, we expect contracts to make a negative contribution in the second quarter as well. Contract ratio in the second quarter stands at around 60%, while it will be around 35% for the whole 2022. The contract level in the second quarter is higher than normal, where this is due to the expected lower harvested volumes in the coming quarter. But as you are aware, it is the salmon that decides when it's ready to harvest in summer. But given the spot prices we are seeing currently, we still expect a negative impact from the contracts in the second quarter. Then we take a look at Iceland. A total of 3,400 tonne was harvested at Iceland during the quarter. The segment made an operational EBIT of NOK 94 million. This gives an EBIT of NOK 27.98 per kilo. A strong result for the quarter driven by good price achievement, good capacity utilization and stable costs. In addition, we achieved good capacity utilization of the harvesting plant during the period. The Icelandic operation has been built up for the past years. We are now seeing some of the fruits from the work in this quarter. During the quarter, the segment harvested fish which was transported into the sea in 2020, which has achieved a stable biological performance and similar stable costs. In the second quarter, the coming quarter, we will continue harvesting the same generation, and we expect similar volumes at the similar cost levels. We have unchanged guidance for the harvest from Iceland at 16,000 tonne for the 2022. Then, we take a look at the new segment. With effect from the first quarter this year, SalMar Aker Ocean is being reported as a separate segment. This quarter, the segment made an operational EBIT of minus NOK 34 million.  Last year, corresponding costs were included in the reporting segment eliminations, while the corresponding result for last year has been included in the shown comparable figures in the slides. In the short term, the company is prioritizing the upgrade of Ocean Farm 1 installation and completion and the sign of Ocean Farm 2 and Smart Fish Farm installations. The objective is and to realize and accelerate further sustainable growth, both in exposed coastal areas as well as offshore. As many of you have heard, Ocean Farm 1 was brought to the Aker Solutions Yard in Verdal at the end of April this year to undergo maintenance upgrades. But when these upgrades have been completed, Ocean Farm 1 will be taken to through Horward of the Trondelag Coast, to start its next production cycle expected around spring 2023. At the same time, development and engineering design work is underway of the new installation Ocean Farm 2 and Smart Fish Farm. Many of you may be aware of the long-awaited consultation document from the trade of industry, Ministry of Trade, establishment of a license regime for offshore aquaculture, which was released 2nd February this year. SalMar Aker Ocean submitted a thorough consultation response before the deadline for the submission, which was in May this year. In this matter, the authority and the sector should go hand-in-hand and test out and develop Norway's potential opportunities. The sector can do the job and take the risk, but the government must give us the chance to get started. Then we take a look at the Scottish operation, Scottish Sea Farms. Scottish Sea Farm harvested 7,800 tonne in the quarter with an operational EBIT of NOK 105 million. This gives an operational EBIT per kilo of NOK 13.35. Volume represents a significant volume increase compared to last year at 32%. But during the period, the harvested fish had high cost, which is due to the mentioned biological challenges, which we saw in Scotland second half last year. In addition, 52% of the volume was sold on contracts, which affects the result of the period with a strong increase in the spot price in the quarter. Integration of Grieg Seafood Shetland into the Scottish Sea Farms continued according to plan. Our experience so far is good. And we're already starting to see the effect of the operational and the biological synergies in the combination of these 2 companies. The volume guidance is unchanged for 2022 at 47 -- sorry, 46,000 tonne. Then we go to the financial update, and we take a look at operational EBIT, high-level comparison with the previous quarter. First Norway, that means without Iceland and SalMar Aker Ocean. Norway EBIT per kilo increased by NOK 11.60 compared to previous quarter. As already mentioned, price achievement is somewhat lower than increase in the NASDAQ spot price during the period. Together with that, lower cost in the value chain, driven by lower cost in Central Norway, this explained the change from the previous quarter. Then if we take a look at the group as a whole, that means including Iceland and SalMar Aker Ocean, we see that EBIT per kilo increased by NOK 12.24 per kilo. Then we have some short comments on the profit and loss from -- for the first quarter compared to first quarter last year. Sales revenue are up due to higher volumes and higher prices. As a result, operational EBIT is also higher this quarter than last year. Together, the Norwegian production tax and resource tax from Iceland came in at NOK 20 million in the first quarter 2022. For the whole year, last year, this totaled to NOK 72 million. As a result of higher forward prices, the changes in onerous contracts is negative, while the fair value adjustments of the biomass is positive. Income from associates for the year has increased due to higher profit from the -- before tax from the Scottish Sea Farm operation. Interest totaled at NOK 53 million, which is slightly up compared to last year. The increase is driven by the establishment of the NOK 3.5 billion green bond which was taken April last year. The group EBIT per kilo rose by NOK 11 compared to last year. Over to the balance sheet, where we compare the situation at the close of last year. Investments are progressing according to plan, which increased our noncurrent assets during the quarter. The standing biomass is somewhat lower compared to the close of previous quarter and the close of the first quarter last year. Net interest-bearing debt including leasing liabilities decreased by NOK 714 million in the quarter. So it lands at NOK 4.8 billion. In sum, our financial position remains strong with an equity ratio of 57.2%. If we look at the key financial number, NIBD including lease liabilities above EBITDA, it is on 1.1. This gives the company a strong financial flexibility to complete the strategic investments, which we are making throughout the value chain. At the close of the quarter, SalMar had NOK 5.3 billion in undrawn lines of credits.  Lastly, we look at movements in net interest-bearing debt. And we start with a net interest-bearing debt with lease liabilities at a close of 2021 at NOK 5.5 billion. EBITDA in this first quarter was NOK 1.5 billion. We are investing for further sustainable growth throughout the whole value chain in accordance with our plans. And in this quarter, we have invested NOK 565 million. The two single largest investments are being in construction of the smolt facilities, Senja 2 and Tjuin. In addition to that, we invest in both maintenance and capacity increase in other parts of our value chain. We end up with an NIBD, including lease liabilities at the close of this quarter, with NOK 4.8 billion. This is a decrease of NOK 714 million from the close of previous quarters. With that, I will hand back the word to Linda.
Linda Aase : One of SalMar's most fundamental tenets is sustainability in everything we do. And for us, there is a close link between environmental, social and financial sustainability. Economy and production growth is not sustainable over time unless it's environmental sustainable. So reducing the environmental impact is, therefore, one of the most important and fundamental assumptions for profitable operations and sustainable economic growth. In light of this, we have always pursued sustainable growth in SalMar. A good example of this is SalMar's emphasis on local secondary processing capacity. And this gives the greatest control over the raw material and therefore, the quality of the final product we send to our customers. And at the same time, it significantly reduces the need for transport, maximizes the use of raw material and creates a large number of local jobs. And our goal is to create as much as possible value from our salmon, while keeping our environmental footprint as low as possible. And to gain a better insight into how we think and work in the area of sustainability, I will recommend that you take a look at our sustainability report. It's a comprehensive and very good report, and it is available on our website. And although the faces presenting the first quarter results are new, the SalMar's strategic foundations will remain unchanged. Everything we do will continue to be on the salmon terms. And this shows how we think along the entire value chain from raw to plate. And to succeed in this, each and every one of us who work in SalMar, including Gunnar and myself, must ensure that we succeed at every single stage in the value chain. And SalMar must be the most cost-efficient salmon producer, and we will secure that position by means of an unwavering operational focus throughout the whole value chain. From smolt to customer, good smolt, good biological conditions, the bright feet and feeding machine, good fish welfare, fish nurtured until they reach the rightsize and quality before being harvested and processed locally. And these are all crucial elements on this journey. And in turn, it will also give us the best foundation for supplying a fantastic product to our customers worldwide. And in SalMar, we are always on the look for new opportunities in every segment, country and regions which we operate. We have ambitious growth plans in both traditional and offshore aquaculture. And in the past few years, we have taken significant steps to equip ourselves for further sustainable growth along the whole value chain in all regions. And this effort will continue unwasted going forward in Norway, on Iceland, in the U.K. and through SalMar Aker Ocean. And an absolutely crucial factor for success is SalMar's amazing people. The expertise, effort, passion and culture that the SalMar employees demonstrate is unique and has been the engine and taken us to where we are today. It has given us the opportunity to develop the sector, identify new opportunities and have the energy and enterprise to size them. And we aim to strengthen this even more. And it's not me or Gunnar or any single person who can do this alone. It is the SalMar community and all our employees together who make the difference. And together, we will build on the foundations already laid to develop our company into the future. And this is the foundation we at SalMar aim to reinforce together with NTS. In order to create an even stronger platform for further sustainable growth, we will together be a powerful industrial force creating more value and safeguarding jobs in the regions in which our two companies operate. And SalMar and NTS have a number of overlapping industrial activities in both Central and Northern Norway in the West George region of Iceland and offshore in the open sea. This enables further growth in some of the world's best salmon farming areas. And we are two companies that fit together well, both industrially and culturally. And in sum, this creates a fantastic platform on which to build something stronger. And now let's take a closer look at the actual offer. SalMar made a voluntary offer to purchase all outstanding shares in NTS. 20% of the settlement will be in the form of cash consideration and 80% in the form of SalMar shares. Specifically, SalMar offered a consideration per share of NOK 24 in cash and 0.143241 shares in SalMar, and the acceptance deadline for this voluntary offer expired at the end of April, by which time, 52.7% had accepted our bid. And based on the acceptance rate for the voluntary offer around 9.5 million new SalMar shares will be issued under an authorization granted by the EGM 14th of March in 2022, while NOK 1.6 billion in addition to the effect of any dividend appropriation will be paid out as cash considerations to NTS shareholder. And given that the conditions for the bid have been met or waived, settlement can take place no later than two weeks after this has been announced. And the timing for the conditions or the timeline for when the conditions can be met or waived remains still unchanged or uncertain. So provided that the offer goes through, SalMar will make a cash offer for the remainder of the NTS shares in order to fill its statutory duty to make a compulsory offer. So finally, the outlook. Looking forward, as previously mentioned, we aim to continue building a strong foundation at SalMar. We will continue to focus on ensuring that people and salmon try, so we will with reinforced strength, continue making strategic investments for further sustainable development on land, along the coast and out at sea. Our job will be to take the steps that will strengthen us today while making us even better in the future. And for the second quarter, we expect to have a lower volume and maintain the same cost level as in the first quarter. Fixed price contracts will account for 60% of the volume in the second quarter and around 35% for 2022 as a whole. We maintain our volume guidance for the year as a whole unchanged in all regions. And at SalMar, we are optimistic about the future. And recent events have shown us how strong the salmon market is. And we expect that the global supply of salmon will remain the same in 2022 as in 2021. And as you probably have heard, we were planning to stage our Capital Market Day in Northern Norway at the end of June. However, because we expect to still be waiting for clarification of the NTS bid, we have decided to postpone the event until a later point in time. And the new date, we will come back to that. So well, that's all for this time. And I would like to thank everyone that has been watching via our webcast. And the next quarterly presentation will be the 25th of August and until then, enjoy the spring and the summer and enjoy yourself with a lot fresh, good salmon. Thank you.
Q - :